Operator: The broadcast is now starting. All attendees are in listen-only mode.
Daniel Pretorius: We're good to go. Good morning, everybody and thank you for joining us for results for the 6 months ending 31st of December 2021. Joining me on the Webinar this morning, Riaan Davel, Chief Financial Officer, and Jaco Schoeman, Chief Operations. I'm going to be doing quarterly presentation as per usual, and then Riaan will takeover to talk you through the financials. And then right at the end, we'll also consider your questions. And then, the three of us will be available to answer whatever questions you might have. Moving onto the 3rd slide. It's just the disclaimer -- let's see here. Once again, I think the picture in the background is not coincidental. It's really to give a sense of some of the stuff we'd be doing in terms of our environmental containment. What you are seeing there on that picture, is a piece of earth-moving equipment, putting cladding on top of our tailing stem in the [Indiscernible] area. And then of course, it's for vegetation to be established, and you'll see some of those numbers there as well. And then also, please note the three-word say; mine, enhance and sustain. It's really an integrated value proposition that we are hoping to bring to the market, and we are hoping that that will also appear on the content of this presentation. So, moving on to the first slide, I'm assuming that you've read through the disclaimer. Just dealing really briefly with the highlights for the six months, and we comparing the six months here with the first half of 2020, which was the first half of COVID had set in. And you'll see that the numbers are actually quite different between the two and the tone has maybe also slightly different compared to what you'll see in the shareholders letter. The letter to shareholders, you will see, that I started off by pointing out that we were actually quite pleased with the way that the business has responded in the second three-months. The second quarter of the year, in terms of both volume and extraction efficiency, and that notwithstanding the fact that we had quite a bit of disruption nationally in terms of electricity supply.  And then the weather was playing up. It's been a very interesting year in terms of weather. I have the group key features, the highlights. We deal with six months ending December 2020 compared to the six months ending December 2021. And there again, the highlights are familiar, it's our revenue, just under R2.5 billion for the six months operating profit, just over R830 million and production about 140, 120 [Indiscernible] of 114 [Indiscernible] of 3 tons. And that's a good number. It's an easy number to talk to, because by referring to the amount of gold that we produce with reference to tons. It's also too easy to illustrate the impact that the movements from gold price, for example, head. And that's also in one of the slides. You'll see that the gold price cap for the 6 months on average was R863,000 per kilo compared to R988 in the 6 months ending December. And that's bond launch will be contributor to the change in the numbers that you see here.  It's very hard to talk to these numbers compared to the six months ending December 2020. Because not only that we have a very high gold price for that six month, but it also was probably one of the best producing or production periods that we had in the 12 years that I've been involved in this portfolio. So, I think the -- it's important to note that, in interpreting these numbers, it's probably better to take a slightly longer-term view. It's the trends and how we developed over the last few years towards the position where we are now. And also, the nature and the quality of the ore body that we have been producing. So, on the whole, if one were to consider the period ending 2020 has a bit of an [Indiscernible]. I think on [Indiscernible], you'll see why we are dissatisfied with the way that the business has performed during that period. Head grades are down. But the gold production numbers that came through based on the extraction efficiencies that we managed to achieve.  We are in fact, reencouraging and you also see that in the letter to shareholders, I made mention of the fact that we're just over 5,000 ounces over the forecast or the plan that we had for the six months. Income tax contribution of R101 million [Indiscernible], for the six months in pay-as-you-earn R118 million for the same period, and maintaining a sustaining cost margin of approximately 3%. My reference to the six months ending 2020, might sounds like a bit of implementation, but I think gold price of R863 thousand [Indiscernible] is [Indiscernible], considering the trend of the gold price over the last periods. It's still a very attractive gold price. And it's still enabling us to focus ending the effect that it's produced quite a bit since last year.  That's still enabling us to pay dividend, to still generate free cash flow, over R400 million in free cash flow. And this dividend will be the 15th year in a row that this company, despite a dividend. I think you're aware of the fact that we own a company that's cash flow focused. It's one of the -- it's an important measure, in terms of how we look at our own efficiency internally, and also an important measure in terms of how we look at growth opportunity. So being able to, again, be in a position to declare an interim dividend. It's something that we treasure. It's an important part of our makeup, important part of who we are. Then looking at some of the numbers at the bottom of the screen, they will in mining, remains unchanged at 22% of total stock, which is still amongst the highest in the industry. Social-economic development spend continues pace just under $20 million and some very interesting developments all symmetrical that I'll refer to later on. And then one of our important measures in terms of both our environmental dividends and also the impact that we have on society is the amount of dust coming off our facilities. And we've seen a slight decrease in the total number of so-called Dust exceedances, that's dust measurements taken over a very, very large area into I think just over 290 dust monitors, dust buckets, and then we can pay the outcome staying to solids to the regulated threshold or standard that we need to report. So also in that regard, let's dust over Johannesburg. I'm moving onto the next slide, the operational trends for the period and I think this will give some color as to what I was alluding to earlier in terms of the six-months last year being a bit of an outlier. Looking at the volume operating trends at Ergo. firstly, we see that volume throughput was on par, slightly lower than the second half of last year, but still higher than the comparable six months in 2020. The yield has picked up nicely also from the six months ending -- correction the second half of 2021. So, we're quite pleased with the way that that's trended up. And that is as a consequence of plan stability and the recovery efficiencies really being maintained at a level that we're very comfortable with. Looking at production, production kilos day to you could see an improvement on off 2 of '21, although slightly down on off 1 of '21. That's in terms of Ergo. Moving onto Far West Gold.  Far West Gold is coming into its own now. We see that the volume throughput is very stable. It's a single resource or single saturate commission facility, so it's an all or nothing scenario. But fortunately, they've been able to maintain the -- pretty much all through the periods that we were affecting here. And then we're seeing an improvement in yield. Of course, they've started the most, the first circuit mall. It's now fully operational again. There'd been some initial hiccups in terms of [Indiscernible] starting, in terms of able [Indiscernible] etc., etc. But those are engineering issues that have been overcome. Also getting better in terms of the gold that's recognized that we delivered to rent refinery and getting a high percentage recognition or a lower penalty, so to speak. Because the percentage of golden outdoor a [Indiscernible] up.  The amount of copper in [Indiscernible] copper in the [Indiscernible] is down. That is as a consequence of the copper illusion circuit that also contributed quite massive to these numbers. And then you'll see the production steady on the up to 792 kilos for the half year on the review. Looking at the grouping, consolidated volume slightly down on to of '21, slightly up on Hoff 1(ph. See a lot of what's happening, a lot of what we are reporting here is in the recovery yield. And then that is a function really of head price and also plant efficiency. And these ongoing focus on making sure that we don't leave any expectable gold back in the tunnel. The managers are as careful as we possibly can. And then there also you could see the production trend slight improvements on the Hoff 2 of '21 which is an encouraging trend for more normal circumstances. At this point, I'd like to hand over to Riaan, who'll take you through the financial review. Riaan?
Riaan Davel: Thank you very much, Neil. Good morning, everyone. It's always my privilege to join this reporting platform with Neil. If I may just provide some context before I hit the detail on the financial numbers and either alluded to at the mine and on staying on the screen. And just to note, again, it's what you're trying to do as a business. And I got share gain to have a look at our website. It has been revamped recently and our integrated report, where we specify our purpose as running back environmental legacy of mining. And then through that starting in South Africa. But I feel like that's further as a vision to also look at that solution responsible environment management and sustainable development and theoretically in any place in the world where large-scale gold mining has tightened place. Again, and just to provide, what does that mean? What does it mean to roll back the environmental legacy of mining? Now for me, and one great example of that is, that we want to mine for as long as we can. Because if we can do that, we do more environmental cleanup. We improved lives of people living close to those towns we have sustainable land use. And at the same time, we also give our shareholders exposure to the gold price over a long, long period of time.  And again, what that doesn't mean for me is, if we haven't look at our financial point-of-view. So, we do not go early to the highest-grade sites that we have and try to extract high-grade yield. [Indiscernible] very short period of time and make a massive financial return. So that's differently not what it means. It's always around blending. It's always around sustainability. And that's really what excites me about this business. And you can -- you would've seen through all our capital projects, and Daniel will talk through that and our planned capital expenditure of R600 million that we've guided to [Indiscernible]. All that we have in mind is to optimize our premises, so that we can reverse the environmental legacy of mining. And that's what -- that's really exciting. Obviously, what we're going to presume now, is our snapshot in that journey that, as you know, started in 1995. It's a 127-year-old company.  And we're giving a 6-months snapshot of how the production and income statements and balance sheet and cash flows as of looked. So, we already alluded to it. A big theme of this 6 months, and obviously we compared to the 6 months that's aimed at 31, December 2020. Is gold price relatively down? Well, as Niel said, and I agree, it's still a very good price where it is. And the other theme is costs that we've seen creep up. And obviously our business, the best effective that we always look at very closely. There's obviously everything that happens every cent, but that is multiplied by 2.4 million tons per month. So that's something that we managed closely. But to re-launch extent on some of reagents, something like electricity. We all price takers. We need those products to operate and you would have seen that that is a theme.  We're not alone in that, of course, other companies and also in the world there's a theme around supply pressures and cost pressures. Inflation, for example, in the United States of America. Let me go and talk through with the specific numbers with that frame in mind. So, it's the context that Neil has provided, so for Ergo, simplistically what that boils down if we compare again the period in 31 December 2020 to the recent period of six months that's ended, our gold price is down 13%. From the R989,000/kg, to R863,000. And then at Ergo, as a result of also the [Indiscernible] yield that we experienced in that period, gold sold is down 9%, which explains the 20% decrease in revenue period-on-period. And again, if you just look at the revenue numbers, you can see the gold price very clearly shining through the 989 second half of financial year 2021 it was at 847,300 Rand a kilogram and now up to 863,000 Rand kilogram. Cash operating costs was what I've alluded to. Period on period for Ergo an increase of 12% gain slightly higher volumes conjugated to that increase in consumption of reagents with strategies in mineralogy of some of the sites.  And then as I've alluded to the boxed CPR in pieces in products like steel reagents, electricity. And the logic staying on some of those we all price status. So, it's obviously something we'll continue to manage as best we can, but unfortunately not -- we have to absorb some of those cost, but it's something that we will continuously monitor. And then can and just shows that the decrease in gold price and gold sold slightly increase in cost has quite a big impact on the operating profit period on period for Ergo, down by 52%. Moving on Far West, as Niel as described, different operation to Ergo. Again, they solid performance throughout the periods. What was very encouraging is gold sold period-on-period up by 13%. For waste and we alluded toward the implementation of the copper illusion circuit assisted with debt and also different than Far flow cleaner, which assisted with yield. So, although the timing just was stable and also the cost at the time, that managed very well. The yield was improved, and that all helped to keep revenue cycle, despite the gold price being down 13% period on period. So very solid, stable performance by fall with coal.  And again, so as the magnificent diversity case in the two operations at the moment, and assisting us to produce solid results. If we look at the group financial trades, very much a theme of gold price period on period, so the operating margin, fortunately, eluded. And it got diluted by the gold price cap that I've mentioned. And gain period-on-period, it is down. The same on the all-in sustaining cost mortgage and you could see the different gold prices for the different periods shining through. Sustaining capital expenditure is stable. But I'll mention that in the cash flow statement, we're expecting quite a significant uptick to come up with all to reach our 600 million. All of this, as you'll see in the income statement, raving new costs or flow down to the bottom line, which will reflect as our headline earnings per share, and that's down 48% period-on-period. Obviously, earnings, this is one of the sectors that we look at. Dividends, free cash flow as well capital expenditure lies ahead. And again, so that is in line that decrease with our interim dividend to compare that to the same period last year, as Niel alluded to it. Really, really happy that we can declare a 15th consecutive financial year of cash return to our shareholders. Onto the income statement, the statement of profit and loss. Analyzing with all that background revenue, is down 16% period on period, with the gold price contributing 13% of that decrease and the goal is so down 4%. Cost of sales up 8% is slightly lower than the numbers we've alluded to previously. Some positive movement involving prices also kept it in that line item. But then leading the gross profit from operating activities just over R667 million Rand down 48% period on.  Then just knocking and a change a long-term incentive scheme, previously, was the final charge and final settlement of our cash settled scheme, which had a reversing charge in the income statement and will change our scheme to Equity set of schemes, which is at 9.3 million charge in the current year. And then around corporate expenses, administration expenses, there's an increased period on period. And again, in line with as we've alluded to on our integrated report around our short-term and medium-term outlook, is to look for growth also in these lanes. And we're doing studies. We're looking at investigations to see how we can our grow business. So efficiently costs supporting that coming through but hopefully at this time, forming the -- in the short to medium-term we'll say no on sell, our growth opportunities accordingly. Finance income around interest and dividends, dividends mostly from [Indiscernible] Rand Refinery. 
.: Obviously, you could see the investment in property, plant, and equipment reflected in net increase non-current invasion and other assets increase our environmental and real assets [Indiscernible] assets, slight decrease mainly attributed to the fair value adjustment on our [Indiscernible] investment. Cash and cash equivalents I'll explain in the cash flow statement, as I always say, Neil alluded to it, one of the most important statements to indicates the exact cash flow position and other current assets up for some investment, inventory or stockpiling. You can see that period on period change up to R582 million. Equity, we see the profit and the dividends [Indiscernible] the equity line provision for environmental rehabilitation stable. Tax liability was -- we could see the [Indiscernible]. What that indicates is [Indiscernible]. As we are profitable, it's definitely [Indiscernible], that we will continue to pay into the future if the business stays the way it is. And then current liabilities and other non-current liabilities stable. So, leave us with an extremely output like current ratio of 5.1 and more than the 4.5 that it was in the prime period.  Then on the statement of cash flows, game. It's reflected in the cash generated for operations. The gold price impact slightly lower gold sold. You can see the cash interest and dividends. You can see the 93 million interests by nominal around just keeping our facilities in place. As I alluded to the finance income -- sorry, finance costs in the income statement being mostly non-cash. Neil mentioned that just over a 100 million provision on tax payment that was going through in the six-month period. I just want to pull this on the acquisition of property broadening footprints R182.5 million. So, which cannot be is that we've guided the market for R600 million. So quite a bit of capital investment that we are planning for reminder of the financial year to 2022. And then the dividend fine payment, so what do you see reflected there is our final dividend cleared just after the end of the financial year. I mean, paid in September 2021 the R345 million, and these assets are very, very stable cash position of just over $R2.2 billion.  I mean, just from our side, getting off with the shape price before I hand over to new. And maybe some high-level comments. Obviously, it's off, it's harsh that it reached in August, September 2020. But just want to remind everyone, obviously, at that November, August 2020, we were right at the number one company through the Sunday Times ' Top 100 companies, that which is reflected in a five-year, total shareholder type of return. Any dividends are declared that's reinvested back in the company. So, we're very, very proud of that achievement. But similarly, last year in November 2021, our performance over the five years, we were rated company Number 17 on the JSE but what's important for me, we were still the best performing gold company listed on the Johannesburg Stock Exchange, and that's something that we're really proud of. That even in over that five-year period, through capital growth and dividends, the company relative to the other gold companies still performed very well. So, we're very very proud of that achievement. Niel, that's it from our side. I'm going to head over to Niel to take us
Daniel Pretorius: Thanks, Riaan. This and maybe perhaps just a little bit on the performance of that chip price obviously. The fact that our companies is a dividend-paying company, and that we're maintaining a return of between 3% and 5%. But there is something that obviously supports the shape price amongst the shareholder crude thing with a particular requirement at the time in this regard. But then also, we do take crew exposure to the Gulf price and I think that's another feature of our company. And there are a number of reasons why we do that. Obviously, on the first -- in the first place, you don't want to sacrifice potential upside. So, you're going to have to protect revenue and basic EPS is essential to do that. And with the gold price is volatile and is responsive as it is to a number of different market dynamics. Never going to be able to anticipate all of those. So, on this call, specific purpose in the short-term we don't want to walk away from potential upside. And then also the reality of the matter is that a company adjusts to the revenue line.  The costs adjust to the revenue line over time. And if you create an artificial support base for your revenue line, then at some point or another, your costs might just start challenging that revenue line and the instrument then expires, and you back to a gold price that is reduced all of a sudden because of the maturity of the full position. Then you might find yourself potentially in a very unhealthy costs situation. So, we don't try to call the market. We take full exposure to the gold price. And what the gold price does for those who understand it's dynamics and then you have an appetite for this thing as it allows for buying opportunities and that provides opportunity for also a little bit of profit. And I'm hoping that those were invested in our company. They do take like, use of those opportunities. And that even if you loan golden long DOD to take advantage of these short-term trends. And then hopefully reinvest when the buying opportunity presents itself. So, moving onto the next slide which is the shareholder profile or ownership as of 31st of December 2020.  So, Sibanye-Stillwater are still there with a controlling stake and determined to maintain a controlling stake. I think the alignment between the 2 companies, the potential business combination partnerships going forward, I think those are being increasingly looked at and are better articulated and understood. So, we're very, very comfortable with this relationship. And also, some things that I suppose is -- that I mentioned more and more, DRDGOLD is a company that has a fairly conservative approach to taking risks, and that is not coincidental. If you look at the recent history of the company. Up until before Sibanye-Stillwater become prominent shareholder, then, the money we spent was the money we made and we had very little flexibility beyond what our single operation profile offered. That has changed now. We can be a little bit more robust in our approach. Perhaps a little bit more ambitious. And learn from our co-shareholder. Learn from a controlling shareholder in terms of innovation, expansion, entrepreneurial innovation, etc., etc.  And then you would have seen in recent reports from our company, some of the presentations that we've done, is that we have aligned ourselves with the strategy of Sibanye-Stillwater venturing into other markets. And we're looking at opportunities in that regard as well. We're hanging on to the cartel so to speak in terms of forward momentum. And some exciting opportunities, I'm sure are potentially coming our way in that regard. Then we still have Bank of New York that are the custodians of our ADR program. Just over half of the free-float. And what we still -- what we're seeing is that the -- because of the permanence of some of the investors in that area of program, some of whom are quantitative and others who are quite attentive. We are seeing that the trend pretty much still determined in New York. New York trend pools the South African Stock Exchange. We're working on our register locally; we are very thankful for some of the names that have come onto the register.  And we're hoping to become increasingly a stock considered by serious investors managing the funds of clients who are serious about money. That's really who we want to be. But the trend still pretty much determined by what's happening on the New York Stock Exchange. In terms of shareholding amongst the company itself, Ergo is still common with just on 6.6 million shares. And then of course, also helped to stew or enabled us to cover the first tranche of the long-term incentive that performed really well cost late last year that we meant to cover that dilution to shareholders very cost effective. And then the position of directors, I think that position is also, as you can see, increase quite a bit. I myself doubled my position into the year into the LTI scheme, and just struck up the income tax in that regard. And it's still the only share that earn on the JSE. So very comfortable with the way my financial future lies. And that to logic and because of the quality of my colleagues and the quality I think of this business and how we've positioned.  And then you can see the other public ownership, which is held here in South Africa and some of your pin into these holdings in South Africa and that's the register we really want to improve in terms of quality and hopefully, we can make it more appealing in that regard. And I do believe that the offering that we have, especially moving on to the next slide, is becoming increasingly compelling. In terms of improved base integrated value proposition. On the one hand, we remain serious about cash flow and we must be amongst the longest, uninterrupted dividend paying coaches on the JSE. On the other end, we offer the volatility, we call it opportunity. Our full exposure to the gold price, and now it's becoming increasingly prominent. This also up performance in this regard, intensive ESG. The next slide. But in summary, if you look at [Indiscernible] the only gold that's positioned at the moment. It's a zero-waste enterprise. We don't [Indiscernible]. We [Indiscernible]. And the only ways that we produce, is ways that's already on surface.  So, no new ways are [Indiscernible] We take it from where it shouldn't be, where it has become a nuisance or a risk, either in terms of the environment or in terms of society, we process it, process that we use is very efficient, and that's the basis for a sustainable business. And then when it gets stored where no longer poses risk over it, no longer presence that bottoming nuisance contained facility that is managed towards the standards that are emerging and developing established in terms of various governance bodies, and interest groups across the globe when it comes to tailings management. So, zero-waste producing. Most of the water that we're using and you'll see as we go through the letter to show, this most of the water that we're using is recycled water. We begin to reduce the use of [Indiscernible] water by 5%. It's a very, very small percentage of water, so grey water goes into the system. In the midterm, we will be using more and more solar power and making use of battery storage which will bring about a significant reduction in our carbon footprint.  So, here's the metals producer that creates no waste, uses recycled water, and increasingly is also going to be relying more and more and ultimately or predominantly on solar power. In terms of delivering into this broader ESG agenda, this could really be the textbook scenario. Since the future [Indiscernible] future sustainability. We know that there are a whole host of metals that are going to be required to do this transitioning into Green Car. We've said that we aligning with Sibanye-Stillwater in that regard and we're all looking at opportunities. In that regard, the world is 100% committed to doing this conversion to green power. But the world is as determined to oppose mining, you know it's not a mining friendly environment. As a consequence, accessing resources are going to become increasingly hard. And the ones that are probably the most accessible are the ones that are already stockpiled in the mine waste dumps across the globe and that's really where our focus points are, where we want to take this model for dry water and clean energy has produced us [Indiscernible].  So, I think we're at the threshold of exciting funds, which we do want to assume parallel with Sibanye -Stillwater. But it's a model that I think is a very good step, where the world's mind is at the stage, in terms of environmental impact. Then also in terms of society, so I think, we probably approaching those -- probably, we are approaching those two, maybe three levels. On the one hand, we've made a very significant contribution and continued to make a very -- a significant contribution into the fiscals by way of income tax. The money currently being spent by government, in terms of social growth is probably one of the most -- that was probably one of the most important things that's happening in South Africa. The fact that we have a very healthy social support system. And one of the main things standing between us and complete anarchy, and abject poverty as a nation.  So, on the one hand, we're putting money into the system that finds its way back into the communities where we operate. And on the other end of that scale, I suppose another closed economy, [Indiscernible] we are focusing a lot of our social investment efforts on the development of that informal economy. So, the picture that you are seeing on the screen here, which is of a firm that's taken the next step, the little debt, the little attention into something slightly bigger and on its way to becoming a sustainable enterprise. Now, offset network, which is an excess of 4,000 families in and around the Johannesburg and now it's also called in [Indiscernible]. Of that network, we are at the start the official of initiating a program in collaboration with the enterprises which is affiliated with the University of Pretoria.  They've come up with 41 different programs, and there's quite a bit of information that will find its way onto our website in the near-term, in the near future, aimed squarely at not just the quality of life, but also on the development of the informal sector. We believe that the informal economy is the best and the surest way out of poverty. The formal economy, especially now with Investor evolution and becoming so much harder to employ. Formal economy is not going to be able to absorb the majority of employable individuals in South Africa and ultimately also the world. That trend is going to worsen. There will be more people unemployed at some point in future than people that are employed, and we have these large companies generating peak revenues, paying income tax. Income tax find its way into a social growth, which is what we call it or universal income, which is what the national, international nation, this emerging nation is lending form the economy, that's it's source of capital.  And that's way we're going to be busy over the next few years in assisting communities become sustainable, slums to become colleges, and for those economies to become increasingly sustainable. So very exciting program, I can say, 41 different programs aimed at various levels of groups, etc. to try and develop those. The one thing that we will not do is to participate in some a false pretty distributed economy of taking work away from value adding participants in the economy. And they're just pertaining to be empowering individuals so companies will in fact what you're doing is just moving capital around and they're not really adding value at all. That seems to be an expectation that is emerging and we're not going to be part of any policy economy or anything in that regard. But so, then moving onto the next slide, which is the environmental performance. For the six months, pretty much on trend, I see at -- undersold us a little bit in terms of potable water. It's not a 5% decrease, it's a 10% decrease in externally sourced potable water.  And this is not something that we decided upon yesterday. I seem to recall 10-years ago, we said that we want to reduce the amount of potable water that we consume every year by 10%. And it was a Pollmann goal that we set for ourselves operating scientifically considering we had to start somewhere. And it's now becoming better and how we approach the consumption of a scarce resource. And a very, very sophisticated systems to make sure that water stays in the [Indiscernible] we're not wasting the water. The water that we lose, is the water that evaporates, but everything else gets used again. Then on the dust emissions that what I did speak about earlier, $34 million spent on rehabilitation, this is money that found its way in that line. It's not the operating cost components of rehabilitation. Basically, by mining, we have the -- but that's not the part that's recognized here. This is dedicated towards rehabilitation across 37 hectares of vegetation, it's still our biggest defense against that.  So, the city has become scuttling over the years, closer and closer to these facilities. And the consequence, the standards of containment -- environmental containment that will change and improve in vegetation. But mostly [Indiscernible] exclusively in terms of NII vegetation, local species, indigenous species, 37 hectares done with. And you saw the picture, rather at the beginning of the presentation, for the cladding that's put across tailing step [Indiscernible]. Now, it's about 33 years of irrigation. Might become permanent. Then in terms of governance, the management of tailing, which is a hot topic internationally, driven by the Church of England, it's important they -- I firmly believe that at some point in future, the status of tailing will become a natural, a real client public record. We'll able to log onto our website and see exactly what the key drivers are, the key parameters are of tailing stamps, in terms of ferric surface or both of us that's being pooled often as Geotechnical data, etc. I think all of those will become public, because it's a matter of public safety and public interest. And it's important to ensure that when standards can form or at least are developed towards those. And if you have some of the largest trailing storage facilities in the world.  [Indiscernible] trailing for the [Indiscernible] trailing is enormous. And the one that will go up in the [Indiscernible] waste trend at some point, those are equally impressive in size. They need to be managed towards a very specific standard that are measured, measurable, and measures and there are reported, they are accessible. And manner in which we set up our entire government system in this regard. I believe this is a step in the right direction with very solid in-house expertise, direct line-of-sight from the office, the Chief Operating Officer and it's CMDs increased sellings. And then very competent stock on Southwest roll management stock on site as well. Very, very good technology, including satellite imagery that can move to take movements as little as one centimeter, maybe even less. Scanning by way of electromagnetic scanning. And then in addition to that, also an independent panel, or panel that's made up of independent will close experts to provide guidance to taste our ideas. What sort of contract that we'd use?  Think it's if not an existence, customer - centric experience in many instances. To make sure that this part of the business is maintained properly and being managed in the right direction. Right. And then moving onto the next slide. Here we go. All right, [Indiscernible] a glance. And I've covered most of those to see what the environmental spend was, which is electricity consumption, megawatt hours you can work out what the carbon emissions were. And also see what an initial 20-Megawatt capacity will be too that out of solar and ultimately, quite a bit more than that, and eventually hocking our carbon emissions once our power solar project is put in place. And then the potable water consumption [Indiscernible] into 1,362 million pieces of work consumption. Just waiting for the slide to change and we got to further price of one. So, the terms of social spend just under R20 million.  Most of that went through the broad-based livelihood program, which was just under -- up from R19.6 million in the previous quarter, and as I said, that is the platform, the network, which we intend to launch many of the programs under the E-enterprise initiative. We're very fortunate having at any fatalities, so the focus very much still on making sure that then they provide a safe working environment, but also adequate safety training, and also the right sort of equipment. And considering the of forces and hearts that all involved in what we do, a very small mistake can have very big consequences. So, the focus in terms of safety is a big, big in-focus. Then in terms of lumen and binding, a repeat of what we said in the highlights, 23% and a 73% HDSA presence in management. So, moving onto the next slide, which is the various coats that we hold up as an aspirational goal, where we were training what we consider to be the covenants goals would be, that we ought to be developing towards, that you can see the integrated reporting Standard Oil and TRA, Sustainable Development Goals of the United Nations and also the World Coke Council. At the bottom, the sustainable development goals at the United Nations, they're particularly raising our activities and what we involve ourselves in.  Moving on to the next, in response to COVID, I think we've spent too much time on this, except to reflect briefly on the site of vaccination in our organization. We didn't have anybody passing away from COVID in the period under review which we're very thankful for. But then we were also really impressed with the response from staff and the staff of contract suppliers in the campaign, the vaccination campaign that we launched. And at the moment, we are north of 90%. All staff completely vaccinated. And this was off with that when response relative to campaign from our side appealing to the center of propriety and responsibility on the product store, really participate in this. Do not only themselves, but also protect their colleagues and with most people back at work, whilst we're still maintaining COVID protocols, in terms of social distancing, sanitizing and so forth. The fact of the matter is that we are far more integrated now than what we were a few months ago during hard lockdown.  So, the fact that the level of the numbers is where they are, and that the vaccination percentage, just are as high as they are. Something we will encouraged by in terms of just the support from staff on this regard. But then they briefly just the community support during the period. The quick very brief reference to the E-enterprise study that was done. And interesting the -- what we're finding is that amongst the livelihood program, many of the green sheets of individuals that have not taken this on and that are being quite well. The community members are learning from them with one particular, the Quebec family (ph) We have non-sponsored similar other families to do the same thing and one of them actually starting to develop up to the same standard as to Quebec. So, we're really happy to see how this has taken on its intuitive program brings bigness [Indiscernible] participants.  And that's really what lies at the heart of these programs is its dignity and sustainability. Very pleased also to reach the three-year way to [Indiscernible] agreements that [Indiscernible] go. That's where the big [Indiscernible] that it will run. And it's something that we probably don't talk enough about, that the [Indiscernible] trust, we have the golden common trust which on 6% initially of either mining was rolled up into DOD gold in 2014. They -- following the, once in part always in part principal effect that was established. They sold the shares in DRDGOLD [Indiscernible], which yielded a little R52 million. And then we actually -- we had a look at it that a quick calculation and we'll put that onto the website. But the value-add for the importance of value created for the partners, both store and initially partners was -- what's an excess of [Indiscernible]. So, we believe that through the shareholders of DRDGOLD could participate with a very significant economic empowerment of historically disabled South Africans through the current trend.  Moving on to the next slide, which will be the -- looking ahead today, at least one more, which is the copper elution circuit at Far West Gold, which I spoke about briefly. Effective getting recognition for a higher percentage of gold content in lower copper [Indiscernible]. And as a consequence, we now get paid for more over the gold that we delivered and this is of penalty. And this is a big number, [Indiscernible]. This is a really good story, the copper elution plant. The final slide, is the looking ahead slide. As I had mentioned earlier that we have 5000 ounces ahead of plan for the year. So, we trending nicely towards guidance. Also, in terms of cash, operating costs, and capital investment. [Indiscernible] things of capital investment this year, both towards the green power project, and also towards the volume throughput projects that you've got in things terms of trailings enhancements and also plants enhancement. [Indiscernible] of Ergo etc. In fact, on our website, user-friendly website, we have these hot button features where we discussed some of these projects. And there might be smaller [Indiscernible] look in isolation that are against the total balance sheet.  Each one incrementally adds to the efficiency, also to the longer-term sustainability of the business. And from an engineering perspective, they're already excited. So, I encourage you to please [Indiscernible] and have a look at this. At Ergo solar plant is big productive for us over the next few months, we really want to start to get going there. And the first phase, which which we talked about in the liquid to shareholders. This plan also up credit reserves and this is now within the context in perspective development and then also the plans that we have in place to increase deposition capacity. That is the main catalyst for this. If you are going to be reprocessing mine waste, you need somewhere to take that waste to where it can be stored permanently. And you need to be able to do it at a particular throughput rate. And in order to maintain that throughput rate, you need a tailing depositions facility with a particular capacity, particular size, because the [Indiscernible] requires a large horizontal area.  So that's where all of these things come into play. And we're very active in that regard to make sure that we can make as most of our resource as we possibly can, as Riaan had mentioned during his presentation. And I might add also in the right mix, make sure that the blend is sustainable blend that you can almost flatline to head grade over that entire period, maintain production throughput rate, and then make sure that we maintain a cost line that's been a revenue line, position our sales towards paid resilience, but also taking full advantage of [Indiscernible] as and when it has an up-cycle as we've been experiencing the last two years. [Indiscernible] Full-steam ahead on Phase 2 plans, plan big, but then implement incrementally towards that big plan. And that means for the time being as an interim phase, and we planning to have a day in the next few months where we will be sharing the details of that interim plan.  But it really, it's to take us to a doubling of volume throughput at [Indiscernible] and a more consolidated approach to their position initially in order to give us the few years that we require to get the license conditions for the large tailing step as well as the regional tailing stem for that area, get those license conditions approved. We've come up against a dead end with the Department of Worker and Sanitation. It will be exciting on our lineup. And we're taking a risk-based approach to them and we're wanting to convince them of the merits of the risk-based approach. [Indiscernible] counsel is fully on-site in this regard too because other players in the industry are experiencing a similar issue. And then we'll get past that eventually because we believe that both our engineering and our science are sound, and that we strike perfect balance between geo -technical stability, safety in other words, and environmental containment.  Our design will not be a bigger environmental threat than a dam with a liner, but it will be considerably safer, and it will be in the long run, but also from a long-term perspective, it will be in our opinion to be a guarantee against environmental pollution because liners are not permanent; at some point or another they might fail, and that defeats the object. still uptake. The interim phase is going to be an important portable server focus in the foreseeable future. And that is everything that we have. 
A - Daniel Pretorius: We'll now take your questions. I'll have a first step with the questions, and if they're too difficult for me to answer, then I'll cross them on to Riaan [Indiscernible]. Thank you very much for tuning in and thank you also for [Indiscernible]. Okay. I'll just click up the chat box. All right. Sandile, you've got a question. I wanted us to ask Neil to provide a bit of update on the green metal strategy, specifically regarding commodities of interest, excuse me, uranium, copper. This ambition will be funded from external or by a controlling shareholder. Secondly, I would like to get a sense where yields are likely to normalize performance goal over in the next few years largely for modeling purposes. How should I think about for that long term having sustaining cost, but not all of that? This is an epic demand that will find give as much information as we can at this stage. In terms of the commodity. So, Sibanye-Stillwater, they made it clear that wants to focus on expanding to battery metals or future metals.  And we've announced that we would want to partner them and align ourselves with expenditures. So, where they go, we want to go with them and where they find tailings that could be a process for this purpose we want to be involved in that process. So early days, in terms of actual project, but the conversations that we're having at this stage of good conversations, I think the right people in Sibanye-Stillwater, have taken an interest in what we do. We have the full support of [Indiscernible] and their CEO in pursuing these goals. And it will be basically aligning ourselves with that. But we don't have anything at this stage to announce that requires any sort of announcement, obviously the moment that there is, we'll announce that. In terms of near-term, in terms of uranium, it's not something that we are explicitly targeting simply because we do not have resources at this stage that are not enough to order attractive enough in terms of content to be brought into another circuit.  These are very expensive plants to do both. So, we would probably venture into something a little bit less challenging initially, but without closing the door on that. The big challenge for the uranium at this stage, is not it's prospects, but it's process at the moment, and just to find capex [Indiscernible]. And a dual product plant is a challenging plant. It's a complex plant and there's a degree of sacrifice also, in terms of efficiency. So, if you prioritize uranium, then you lose a bit of gold, if you prioritize gold, then you lose a bit of uranium, but it's really only once you see where the process of these commodity split, where they [Indiscernible] or where they balance is established that you could really decide the extent to which you want to go to your products. We're not there yet, though. In terms of the rest, [Indiscernible] where [Indiscernible] the still water goes, that's where we want to go and see what opportunities present itself. Right, then in terms of what the yields are. This is not something that we really put into the public domain.  We give our guidance as we go forward, and you could have a look at the guidance that we give and reconcile it with the numbers that we publish. You'll see all of those numbers are in the presentation, both in terms of Ergo and Far West Gold, and extrapolate those. And inasmuch as so we anticipate that there will be either an increase or a reduction, we'll give due notice on that regard. My suggestion would be to extrapolate what you've seen in the presentation now. And would give you the working as well based on the volume throughput of the two. And then also in terms of Ergo's long-term all-in sustaining costs, so Ergo's capital numbers at the moment are a little distorted because of the amount of capital that's being spent on infrastructure. So strategic, which is not sustaining capex in the [Indiscernible] but typically Riaan helps me here. And I don't know if we've really departed off this rule of thumb, but it's about 5% of cash costs is the sustaining costs, if I'm not mistaken, about $50.
Riaan Davel: That's right. as you mentioned, Niel, it is supported in the short-term and some of that is included in that R600 million capital guidance. So, we'll definitely see in the short term. The all-in sustaining cost for Ergo, will go up. Sandile, based on that spend. And then as Neil alluded to it, we're obviously looking to firstly upgrade the reserve for Ergo and closely linked to that is the increase of the [Indiscernible] facility. And then yes, just maybe conceptually long-term, and hopefully as that information becomes available, obviously, the reserve update will be publishing information in that respect. But just conceptually, as you know, Ergo is a challenging operation in that it has many sites at the moment. So, you look sort of medium-term to long-term, the idea is to approach larger sites, which has less of a cost base -- a smaller cost base. And that's really the vision. So, volumes up from smaller sites or from fewer sites. As we see over time, maybe the grade's simplistic as you would see in the reserve segment will decrease. But hopefully when that is available, we'll publish it. But just to give you a seat, at the [Indiscernible].
Daniel Pretorius: Thanks, [Indiscernible]. The next question is from [Indiscernible]. They want to get an update from the timelines for the PV launch in the total expenditure. But so, the first place you would've seen in the latency shareholder is ten-megawatt solar facility correction, a 20-megawatt solar facility and then a number of modular storage units. And importantly, also an upgrade of the existing call it grids infrastructure of an 88 [Indiscernible] line. And that's a modular sort of design. So, it can be twice of that, it could be three times that depending on the availability of capex and also the model on which we decide. We haven't taken a final decision on whether we want to do this off-balance sheet or internally. Much of what you see here in terms of the first phase, we believe will be done internally. And in terms of the timing, we're waiting for one letter, one signature from one regulator, one external party. Once we get that, we'll see some drilling machines hopefully starting to move some soil and rock and we can get going. So, I suppose it's part of the frustration really of listening to the political promise if you wanted to listen to these [Indiscernible], and then implementing it.  They'll still administer the process that needs to be followed and not everybody goes through his entire or her entire inbox every day and stay at the office before that inbox is clear. Some of them take a little bit longer. Some of them seemingly don't look at the -- bother to look at their inbox. Am I being cynical now Jaco, or no? I don't think so. I think we might actually get that later anytime soon. Yes. That we've made some good progress and we expect the -- what is it? The costing letter from [Indiscernible]. That's the only thing outstanding. And then [Indiscernible] has been good. They have been responsive, so I'm being a little bit [Indiscernible]. When in terms of capital, Riaan, I don't know if you want to share some of the numbers in terms of capital, but maybe just in terms of the caveat line. Think we want to build. I mean, that is something that we know will spend internally in the near term.
Riaan Davel: Maybe Jaco wouldn't like me to do that. We probably wouldn't want to be too specific on the capital. But as you've mentioned, we want to provide that information in the next two or three months, in a day, where we give some insights on that. Let's wait for that later. It's a really exciting project, but let's wait for that. And maybe if I can combine a response to under what conditions from [Indiscernible], will be looked to leveraging our balance sheet and taking on some date, and that's one scenario. Clearly, what's the PowerBlocks and the battery backup? Clearly, our balance sheet is five study is ready for some date and that just makes a lot of things for us to bring in some green financing, sustainability linked financing. I see that as a huge opportunity because as you mentioned, just fits like a glove with our strategy around sustainable development, green power, cheaper power, and more reliable power from a business that operates 24 hours a day. So hopefully in the next, as you mentioned, two or three months. But we will be able to update the market on more specifics. And I know most exclude one will roughly be comfortable.
Daniel Pretorius: I mean, generally speaking as the person who's naturally conservative about this sort of thing. [Indiscernible] the numbers that conceptually are well within our reach at the moment. It's not really going to affect the balance sheet. And taking on debt and it's got green bond written all over it, that would be a matter of choice, not a matter of integrity. Decent terms of [Indiscernible] to be here is what the fifth phase is all about. Right, thank you. Thanks, Leon. And then Nick was asking about Ergo costs. Cost increases were once off and related to trucking, etc. And now we're of the basis we assume part of the reason giving us the cost increases around steel, etc. Each cost supply equally to Far West Gold. [Indiscernible]. Remember, you're talking about a vastly different volume throughput arrangement here. Ergo is closer to 2 million tons a month, whereas always called. It's done about 500 thousand tonnes, and a much shorter distance or [Indiscernible] of camping. So, with Ergo having I think adjusted to a slightly lower head grade profile and with the higher volume throughput, that's when you're going to see an increase in reagents.  So, if you look at the cost per tonne, then the increase is not significant, but the higher tonnes and lower volume -- our recorrection, lower gold content and as a consequence, more reagents. The steel is something which we simply just had to absorb. I don't think it was foreseeable that it was going to be quite this steep. That's been affected in, that impacts more on the capital expenditures, it's not a big impact in terms of operating costs. So, in terms of operating costs, it's really been the reagents and tracking costs. We are tracking in more high-grade material. So, I suppose the decision that you've got to take, that we want to make, is are we going to produce less gold in order to preserve the cost base or are we going to take advantage of the higher gold price in order to bring in high grade material and still produce gold ahead of profits. And then I think we stood up for the latter. Because the more tonnes you bring in to your plant, the more on the whole you also dilute your [Indiscernible] will cost. Yes, I can understand if there is a degree of frustration, but I suppose if you work with our numbers everyday, a little bit more.  All those costs, I think all those pretty much sickled now and the hatred levels that we can expect going forward. It's also [Indiscernible] into the volume profile that we can expect going forward. The increases in cost that we might see would be external, would-be inflation. It wouldn't be because of a change in the customer makeup. Jaco, I don't know if you want to elaborate on that, but I think we're probably into a slightly more stable profile now.
Jaco Schoeman: Niel, Riaan has already alluded to it. We indicated that the money calls for us to moving to bigger sites with more stable tonnages, and therefor moving off some of the cleanup sites. The cleanup sites are good, that produce additional gold, but it comes at a cost, which is also some of the cost that you've seen in that circuit. And then as the mining plan changes to the largest sites, we also do expect the cost to come off similarly, but that is in the medium-term.
Daniel Pretorius: We've got a vast footprint at the moment. It's got a lot of moving parts. It is a complex footprint at Ergo at the moment, I think there are 15 sites where we are active. Two of those sites are stockpiling sites weigh the costs. We stockpiling material, but we're not producing that material just yet, so you would recognize some of those costs, but businesses that revenue coming in, that revenue will come in at some point or another. But that is how you manage with heavy [Indiscernible] you balance, clean up in production and we're in a position to do it now. And as a consequence, we are hitting these slides quite hard. The seven upsides starting in the fall, we spend all the way through to the ESA and now being sequentially targeted. And whatever we can lift in stockpile and as much as it might have value in there, we do. But not all of that's coming into the circuit just yet because it's competing for space with some of the other throughput sites. If you compare this model now, and once this has all been done, the machines are off site, the areas have been cleared, and you're no longer retaining from six or seven sites, but you're down to three or four sites, of course, your cost profile looks a lot different because it's far less complex.  More higher volume sites, fewer moving parts, and that could bring that R129 per ton, that could bring it down quite significantly. Admittedly, also, over yield, and we'll have to see what the reaging balance will look like at that point in time. But we're talking sort of three years into the future. But at the moment, the Ergo site, is a complex site with a lot of moving parts. And I think the team understands it. The team's approaching it from the perspective of sustainability. We learned a hard lesson in 2017/2018 where we have to go back to a site. Then clean it up because the legacy site, while we have other sites waiting to get into -- coming into circuit, a lot closer to plant, they're not being able to because all of the volume throughput all the capacity was being taken up by this cleanup. Just in the revenue in a period of six months that costs us R77 million. That's not adding the opportunity costs. So, we're not making that mistake again. We are making sure that once we are off site, we are off site. And we can move on to the next site. Stay with us for the near-term. And as we sort of migrate towards a slightly less complicated profile, but at the moment, there are a lot of moving parts.
Riaan Davel: Yeah. If I might want to speak, you two are right. And what we've seen from the Ergo costs over the last six months, costs will be under pressure in the near term. I think that is the reality that we're managing and our cost guidance of cash operating cost for the group of R600 thousand per kilogram will be under pressure. I think that is the reality of the cost basis that we've seen through, and the short-term debt that will remain.
Daniel Pretorius: Thanks. And then I just want to briefly deal with a question from Arnold. His question is; We're aligning with Sibanye-Stillwater, does that mean you're not looking at anything outside of Sibanye-Stillwater? No, I think Riaan mentioned earlier in the presentation that our purpose is to roll back the environmental legacy of mining, and our vision is to do that internationally, globally. And obviously, if there was something appealing outside of South Africa that enable us to also diversify in terms of jurisdiction, and in terms of product, provided that it's within this band of product that we've identified, then we will want to look at that and that will be done in, obviously, in consultation with Sibanye-Stillwater. So, I think there's is still the closest. It's the shortest route to growth. It's almost in-house growth and one can structure those quite dynamically, depending on what the sort of value unlock is or the value proposition is, do you want to present something to the market as a standalone, something that can be modeled and brought into a balance sheet and be recognized in terms of market cap or is it going to be for the revenue earning service that we provide, because the value unlocked would not be as profound, for example, as what we have seen before it's gone.  There is the opportunity for dynamic conversation and structuring is that conversations between ourselves and Sibanye -Stillwater, we we're not closing our minds to other opportunities. We've looked at a few North America. We better looking in Europe, number of things and if it fits the profile, and then we might send people to go and have a look, but we've been not rushing into anything. But this would be looking broader than Sibanye-Stillwater and broader than South Africa. I think we've covered them all. I'm sorry, all of those was out of sequence. I didn't scroll all the way up to the top. Yes, I think we've covered them all. I don't see any other questions.
Riaan Davel: Niel, if I may, there's just one come in right at the end from Nick Dunham saying the increase in the transmission line and then can happen too far ahead of the expansion of the TSF, so when do you expect expansion to happen?
Daniel Pretorius: Probably as soon as we get the letter. We want to do it now, it's been approved. We've been sitting on the starting blocks now holding our breath. And we just need to get this [Indiscernible] We think it will be here anytime soon.
Riaan Davel: There’re no further questions.
Daniel Pretorius: Well, thanks, everybody. Thank you very much for dialing in. And if anything, material happens, well, we will announce it. But in the meantime, please have a look at our website and please [Indiscernible] to the integrated support. A lot of what we're trying to convey here has actually been summarized very nicely in that integrated support. Okay. Thank you very much. Have a good day.
Riaan Davel: Thanks, Niel. Thanks, everyone.